Operator: Thank you for standing by. This is the conference operator. Welcome to the Zeta Q2 2021 Earnings Conference Call.  I would now like to turn the conference over to Idalia Rodriguez, Partner with Arbor Advisory Group. Please go ahead.
Idalia Rodriguez: Thank you. Joining me on the call today are David Steinberg, Zeta's Co-Founder, Chairman and CEO; and Chris Greiner, Chief Financial Officer. Before we begin, I'd like to remind everyone that statements made on this call contain forward-looking statements. The same forward-looking statement notices found on the 8-K and earnings release filed with the SEC apply to this call as well and can be found on the IR portion of Zeta's website. In addition, our discussion today will include references to certain supplemental non-GAAP financial measures which should be considered in addition to and not as a substitute for our GAAP results. Reconciliations to the most comparable GAAP measures are available in today's 8-K and executive materials which are available in our - on our Investor Relations website at investors.zetaglobal.com. Now, I'd like to turn the call over to David Sandberg. David?
David Steinberg: Thank you so much. Good afternoon and thank you for joining Zeta's first earnings call as a public company. We appreciate your interest. Before we dive into the details of our very strong second quarter, I'd like to take a few moments and talk about Zeta, who we are, what we do, how our technology platform is unique and valuable in the marketplace, and why we're excited about the accelerating momentum of our business? What do we do? 14 years ago, my Partner, John Sculley and I set out to build a next generation marketing platform to help brands acquire, grow and retain customers more efficiently and effectively. The mission is more critical today than ever before. Modern marketers are struggling to keep up with the rapid pace of digital innovation and are seeking solutions that help them to get to the market quickly, identify and engage their target customers with precision, deliver personalized experiences across all channels and improve ROI with sophisticated deterministic measurement that comprehends the impact of every program. That is what our tech stack, the Zeta Marketing Platform, or ZMP, was purpose-built to develop and deliver. In fact, a recent study by Forrester has proven something that we have known for quite some time. Enterprise marketers taking advantage of the ZMP's identity based omnichannel activation capabilities achieved 50% better results than without it. The ZMP is rooted in our proprietary data. We made a number of high impact acquisitions to build over time one of the largest opted in identity based datasets in the world. On top of this identity bedrock, we've built a patented artificial intelligence engine that analyzes billions of structured and unstructured data signals to discern consumer intent in a way never before possible. Which allows us to create higher value audiences that unlock new possibilities for personalized omnichannel engagement. In the second quarter, our dataset expanded from 500 million to over 550 million individuals globally and from 220 million to over 225 million in the United States alone. We combine our proprietary data with first-party data provided by our customers to understand unique insights, uncover new use cases and accelerate growth for many of the world's largest brands. However, data is not our product, data is the electricity that powers our software business. Our customers use the ZMP to orchestrate and execute targeted marketing programs across all addressable channels. The patented AI at the core of the ZMP gets smarter over time, enabling customers to achieve both greater scale and higher ROI, a rare and powerful combination. We believe this drives strong retention as well as expand and extend sales motions. Our annual net retention rate for our largest customers was 122% in 2020, up from 104% in 2019. Today, we serve a diverse customer base, including one in three Fortune 100 enterprise customers across a variety of vertical markets, with no one customer accounting for more than 7% of revenue and no one industry accounting for more than 14% of revenue in the second quarter. Our customers consist of many of the world's most well-known blue chip brands across every major industry vertical. Enterprise customers choose Zeta for our ability to help them deepen connections with their customers. The ZMP creates a true 360-degree view of the consumer. Enriched with our proprietary data signals while keeping Zeta's and each customer's data technically separated, a key differentiator in the end market. This provides enterprises with a single source of truth that improves their understanding of consumer needs, attitudes and behaviors far beyond what they could derive on their own. Each month, in the United States alone, our platform analyzes over 50 billion web pages and online discussion forum interactions. Three billion visits to real world location, over 1 billion purchase signals and up to 2500 demographic and behavioral attributes to determine behavioral intent at an individual deterministic level so that our customers can deliver the right message to the right consumer at the right time. Because the market is consistently evolving, the ZMP flexible so it can respond quickly to technological advances and seamlessly connects with emerging digital platforms and new services. For example, CTV is our fastest growing channel, growing by almost 500% year-over-year in the second quarter. From a demand standpoint, we're seeing an acceleration in the pace of digital transformation and marketing and the adoption of data driven marketing. We're seeing a digitization of marketing channels. The growing importance of identity-based deterministic targeting data and an increase in demand for measurable marketing spend and return on investment. We believe we're seeing the market come to us, and I'm confident that the investments we've made over the last two years and continue to make position us to capitalize from these tailwinds. Last year, we successfully launched Opportunity Explorer, a campaign planning tool that provides brands with proprietary insights on segments and personas in conjunction with a comprehensive view of an available addressable channel for each consumer target and we are able to stand up instances of the Opportunity Explorer in a matter of days, and now it serves as an effective go-to-market wedge product from new net customer acquisition as well as a gateway for broader platform adoption. Chris and our President and Chief Operating Officer, Steve Gerber, have done an exceptional job this past year in expanding and re-organizing our sales organization to support and accelerate growth across multiple dimensions. In readying to scale our growth even more aggressively, to announce that we have hired Zeta's first Chief Marketing Officer. Crystal Eastman has joined us in June from the Trade Debts, where she was the Head of Global Marketing. Through that senior role and other senior roles she has held throughout her career at American Express and BlackRock, Crystal deeply understands the increasingly sophisticated needs of enterprise markers. I'm thrilled to welcome Crystal to our team. For our Q2 business commentary, before I turn it over to Chris to fully walk you through the numbers, let me touch on some highlights. Q2 capped a very strong first half for Zeta. During the quarter, we delivered record revenue for a second quarter of $106.9 million, an increase of 39% year-over-year compared to revenue growth of 25% year-over-year in the first quarter of this year. Solid profitability on a non-GAAP basis with adjusted EBITDA of $11.4 million. Adjusted EBITDA year-over-year growth was a 106% and adjusted EBITDA margin of 11%. Since the beginning of the year, our revenue growth expectations for the second half of this year have improved, driven by a more favorable outlook and our high level of revenue visibility. During Q2, we won business with over 30 new customers, while simultaneously achieving record net revenue retention rates for total Zeta and Zeta's scaled customers. The sum of the parts of Zeta, our Marketing Cloud, our Data Cloud and our activation capabilities are resonating with customers and differentiating us from competitors. We're also significantly accelerating momentum in product innovation and customer wins, which establish a strong foundation for future growth. Let me expand on each and share some highlights. First, our recent product advances. We've made our CTV offering even more sophisticated, with CTV genre and content targeting which allows marketers to reach their targeted audiences in specific context within specific shows. This solves for a key barrier to entry as linear buyers contemplate the shifted CTV. As TV buyers have been accustomed to control at the content level. We've also developed a CTV content consumption household index to provide clients with deep insight into what content their target households are watching to inform their go-forward media plan and creative strategy. Our CTV enhancements this quarter provide a unique and differentiated combination of actionable insight and activation controls that will accelerate advertiser shift from linear to CTV and improve ROI for Zeta customers in this increasingly important marketing channel. We continue to scale our identity graph adding over 5 million customers, bringing our precision reach to over 225 million in the United States. We also continue to fortify our deterministic graph, which as a reminder is not reliant on third-party cookies. And we launched a new identity resolution service that acts as a backbone for ensuring addressability and accuracy in how we apply Zeta's data and artificial intelligence to individuals' intent in our predictive campaign recommendations. We will continue to invest in the resilience of our identity solution which is core of the Zeta Marketing platform to ensure we are future proved for the evolution of a digital landscape. Lastly, we created a new way for brands to rapidly onboard their first-party data at a faster more automated path to campaign automation. This new functionality, which we call low-code onboarding, eliminates the implementation dependency on enterprise IT resources and reduces our time to get started with new customers from weeks or months to mere days. With more and more brands looking to maximize their use of one PEV to power more productive acquisition and engagement programs, we are well positioned to be the partner of choice as they embark on their digital transformations. Now I'd like to share a few of our notable customer wins in Q2. First, with respect to our omnichannel capabilities, a long-standing insurance customer that has worked with us in messaging for over five plus years expanded across paid channels in Q2. Leveraging the stained targeted audiences and campaign infrastructure, the customer worked seamlessly through the ZMP to expand reach and improve impact. We forecast this relationship expansion to increase this customers ARPU by up to 20 additional percent. We believe this model could be repeat ed and scale across more than 50% of our customer base in the next 18 to 24 months. Second, with respect to how we win with Opportunity Explorer. Using the first-party data of a major retailer, we were able to isolate browsers from buyers, retarget them across multiple channels through an AI powered trigger-based program. This solution displaced a major competitor and put this retailer on a path to becoming one of our largest customers in 2022. Third, with respect to the CDP, a long-standing travel client who had primarily focused on omnichannel activation but relied on a third-party legacy database-services model. They were aligned with our vision of moving into an omnichannel model driven by a single view of the consumer. But they challenged us to on-board and migrate them within eight weeks. Through the Data Conductor, the low-code solution I mentioned earlier, we launched this quarter. We were able to ingest all data fees and stand up a world-class CVP in a week so that they could capitalize on post-COVID bookings. Finally, we announced a new partnership with Dun & Bradstreet to bring our core solution to the B2B market. As a part of the agreement, DNB will become a multi-year important scale customer. They looked at every competitor in the marketplace and ultimately chose Zeta because of the capabilities of our software, our data, our ability to combine inflows seamlessly, our omnichannel marketing capabilities and our ability to deliver measurable results. In summary, it's been an exciting last few months for Zeta. Our recent IPO marks a new and exciting chapter. Providing us with additional capital to further strengthen our platform for our blue-chip clients, as well as attract and retain more talent. We're proud of the results we've delivered to date. We're even more excited about the future as we continue to execute strongly upon our strategic growth plan. I would like to really thank the Zeta team for everybody's hard work, dedication and perseverance. I'd also like to thank our customers, partners and investors for the support they've given us throughout this journey. And with that, let me hand it off to Chris to discuss our results in greater detail. Chris?
Chris Greiner: Thank you, and good afternoon, everyone. Let me start off by echoing David. I too am incredibly excited for Zeta's next chapter as a public company and couldn't think of a better way to begin our journey than with announcing our very strong second quarter 2021 results. Across the board, we saw strong broad-based execution, building upon our momentum from the first quarter and leading to an improved outlook for the year in both revenue and adjusted EBITDA. We're seeing a positive shift in revenue mix, further improvement in ARPU, an increase in win rates, all of which are the result of continued investment in our platform, datasets and sales team. This is best illustrated through how our core growth drivers contributed to this quarter's result of 39% revenue growth and 106% adjusted EBITDA growth. I'll first cover key elements of our second quarter results before diving into our core growth drivers and the performance metrics that powered our progress toward our long-term growth and profitability targets. We delivered $106.9 million in revenue during the second quarter, up 39% year-on-year and up 5% compared to the first quarter. Scaled customer growth, ARPU expansion, record net revenue retention and ramping sales productivity from our hunters and farmers all contributed to this quarter's results. Each of which I'll discuss in more detail shortly. From a revenue mix perspective, we continued to drive a higher percentage of our revenue direct on the Zeta Marketing Platform or ZMP. Increase in revenue mix to 77%, up from 74% in Q1 and 68% ending 2020. Also in the second quarter, our percentage cost of revenue excluding depreciation and amortization was 39.2%, as compared to 38% last year and 38.4% in the previous quarter. Over the full year of 2021, we are on track with our goal of achieving at least 75% of revenue direct from owned and operated ZMP channels. We expect meeting this goal to produce at least a 100 basis point reduction to our percentage cost of revenue in the full year of 2021 versus 2020. Our revenue results drove strong operating leverage through our expense structure, even with our incremental investment in sales and innovation. Our operating expenses for the quarter include stock compensation expense and one-time IPO related expenses, which are considered addbacks for our non-GAAP measure of adjusted EBITDA. Excluding stock-based compensation and one-time IPO related expenses, we realized scalable efficiencies year-to-year in G&A, sales and marketing and R&D. G&A as a percentage of revenue was 20.4% in the second quarter compared to 22.4% in the prior year, an improvement of 200 basis points. Sales and marketing as a percentage of revenue was 21% in the quarter compared to 21.8% last year, an improvement of 80 basis points. And R&D as a percentage of revenue was 8.6% as compared to 10.6% last year, lower by 200 basis points. Before discussing our core growth drivers and performance metrics, let me quickly touch upon other GAAP and non-GAAP measures of our financials. Net loss increased from $15.1 million to $94.9 million compared to the prior-year period. This increase is primarily driven by $119.3 million of stock compensation expense recognized during the quarter. Modification to the vesting terms of pre-IPO restricted stock grants caused tock compensation expense. Future expense related to unvested restricted stock amounts to $662.1 million as of June 30, 2021. Our growth translated to operating leverage with adjusted EBITDA increasing to $11.4 million from $5.5 million in the prior-year period, an increase of 106%. Adjusted EBITDA margin increased to 10.7% from 7.2%, a 350 basis point increase year-over-year. Operating cash flows during the quarter also increased to $7.6 million from $6.3 million in the prior year, an increase of 21%. Cash on the balance sheet stands at $113.6 million from $50.7 million as of December 31, 2020, primarily due to the proceeds from our IPO. And finally, net working capital, defined as current assets less current liabilities, was $97.4 million as of June 30, 2021, increasing from $37.4 million as of December 31, 2020. Now let me transition to our core growth drivers and some of the performance metrics that contributed to our strong results. As a reminder, we have five core growth drivers. First, growing ARPU and scaled customers who we define as customers generating at least $100,000 revenue over the trailing 12-month period. Second, investing in sales capacity, marketing and building out our partnership ecosystem. Third, scaling our newest product. Opportunity Explorer. Fourth, launching new products to new markets and new buyers. And fifth, expanding internationally. Our execution on each of these fronts is contributing to our improved outlook and progress toward our long-term model of greater than 25% revenue growth and at least 20% adjusted EBITDA margins. I'll discuss the KPIs for each growth driver during the second quarter. Beginning with increase in ARPU and growing scaled customers, last year's transition to a dedicated hunter farmer sales team is working very well. Our belief that customer experience translates to increased platform adoption is best evidenced through the lens of our ARPU growth, increased skilled customer count and record net revenue retention. Starting with ARPU, during the second quarter, the average revenue per scaled customer climbed to over $299,000, up 44% year-to-year. We grow ARPU by increasing platform usage, cross selling new use cases and up-selling more channels on our platform. We have very interesting dynamics driving ARPU, which can be found on slides 13 and 14 in our supplemental earnings presentation on the IR website. These are as follows. First, the increase between a scaled customer's ARPU in year one versus year three is greater than 5x. This demonstrates the stickiness of our platform and leverage in our revenue model. Second, the increase in scaled customer ARPU from 100,000 to 1 million customers and greater than 1 million customers is 10 times. This reflects the significant opportunity to cross sell new use cases and up-sell new channels within the installed base. This opportunity alone is expected to be a $1 billion growth lever. And lastly through the first half of 2021, we continued the trend of increasing the average number of channels utilized per scaled customers to 1.5 through June 30, 2021, which compares to 1.4 for all of 2020 and 1.2 for all of 2019. This in the setting of having over a dozen channels available on the platform. So great progress with the substantial incremental growth opportunity ahead of us. In addition to ARPU expanding, we're also increasing scaled customer count. Scaled customers increased from 333 in the first quarter to 343 in the second quarter, with both our 100,000 to 1 million customers and greater than 1 million customers increasing quarter-to-quarter. And lastly, as you heard from David, during the second quarter, Zeta realized a record net revenue retention rate in total as well as for scaled customers. Our second core growth driver relates to increasing investment in sales, marketing and partnerships. During the quarter, we made solid progress in building a repeatable scalable sales engine and expanding our sales ecosystem to supplement the direct sales force. First, with respect to our direct sales organization, our 39% year-over-year growth was contributed evenly by hunters and farmers. New customers generated 20.3 points of year-over-year growth, while existing customers made up the balance of 18.3 points. From a sales productivity perspective, win rates through the first half of the year have remained over 50% for Total Zeta as well as for each of the three use cases we sell to our customers. Third-party validation by Forrester showing Zeta delivers 50% better results is certainly helping the sales efforts. We're also realizing the benefit of assigning our sales team by industry expertise. As we gain footholds in specific industries, we're leveraging those win plans deeper within the vertical. This has contributed to our strong industry growth rates, with 12 about 15 industries growing double-digits year-to-year in the second quarter. And as David highlighted, in addition to hiring our first CMO, we also made major strides growing our partnership ecosystem through our announcement with Dun & Bradstreet. Not only does DNB become an important multi-year scaled customer, but our combined capabilities strengthen Zeta's ability to bring a 360-degree view of the consumer to our customers and further differentiate Zeta from the competition and opens up new opportunities in B2B and S&B. Our sellers continue to have success using our newest product and third-core growth driver, Opportunity Explorer, as both a wedge product to land new customers and as an expand extend tool with existing customers. In fact, we've seen a number of opportunities for product sales increase sequentially every quarter since Q1 of 2020. Importantly, revenue from these customers grow over time, as Opportunity Explorer serves as a door opener to the broader capabilities of the ZMP. And we've begun to attach new features to Opportunity Explorer to further accelerate its land expand extend contribution to our growth. Launching new products is our fourth core growth driver, and as you heard from David, the pace of innovation and new product introduction by our product, data and engineering teams has never been faster. Second quarter continued the trend of more revenue being driven direct from the Zeta Marketing Platform, a major focus of the Company. This is important since revenue generated by the ZMP has a higher mix of recurring revenue and a better operating leverage characteristic. We also saw all major channel categories grow greater than 25% year-to-year, with CTV growing 499% and continuing to hold its position as our fastest growing channel on the ZMP. Wrapping up the discussion around our last of our five core growth drivers, Zeta's International revenue grew at a robust 33% year-to-year in the second quarter. Of the core growth drivers, international expansion has the longest time horizon but has significant upside since it represents just 6% of total Zeta's revenue today. Our ability to replicate our proven blueprint in the US with our existing footprint overseas is an exciting area of future growth and an expected major expansion of our $36 billion US TAM. Transitioning to guidance and with our core growth driver momentum as a backdrop, our outlook for the year is improving. We're guiding third quarter revenue to $108 million to $111 million, up 13% to 16% year-to-year as reported and up 17% to 20% after adjusting for $3 million of prior-year presidential cycle revenue that does not repeat in the third quarter of 2021. For the full year, we're taking revenue guidance to $432 million to $436 million, up 17% to 19% year-to-year as reported and up to 22% to 24% after adjusting for $15 million of prior-year presidential cycle revenue. We believe adjusting out the $15 million impact of last year's presidential cycle, $3 million in Q3 and $12 million in Q4 of 2020, best produces an apples-to-apples comparison to measure our core growth performance. From a profit perspective, in the third quarter, we are guiding adjusted EBITDA to $13 million to $13.5 million, with an adjusted EBITDA margin of 11.7% to 12.5%. For the full year, our guidance for adjusted EBITDA is a range of $55.5 million to $57.5 million, up 43% at the midpoint and representing an adjusted EBITDA margin range of 12.7% to 13.3%, up 225 basis points year-over-year at the midpoint. Overall, our guidance for the full year is a reflection of continuing to aggressively invest in sales and innovation while simultaneously expanding adjusted EBITDA margin and making steady progress toward our long-term targets of greater than 25% revenue growth and at least 20% adjusted EBITDA margins. You can refer to our supplemental earnings materials on slides 18 and 19 for further details on our guidance, along with other reconciliations in the appendix. Now, let me turn the call back over to the operator for David and me to take your questions. Operator?
Operator: Thank you. We'll now begin the question-and-answer session.  Our first question is from Raimo Lenschow with Barclays. Please go ahead.
Raimo Lenschow: Hi, this is Frank on for Raimo. Congrats on a really strong quarter here. Just one for me on your recent conversations with customers post IPO. Have there been any noticeable changes here to highlight? And do you see any further validation in the market opportunity lately just post IPO or even the DNB partnership?
David Steinberg: Yes, first of all, I think it's important to note that not only is Dun $ Bradstreet is going to be a partner, they are a major customer and buyer of our software. So it's a multi-year fairly sizable deal that's on platform with very high gross margin. So it's emblematic of where we're going with customers signing multi-year software deals and really expanding out the relationship. I think what we're also seeing and you saw it in the rebound of growth hitting 39% is customers are starting to spend more. We really saw a lag coming into this year, specific travel, hospitality, entertainment, and financial services and we're starting to see those categories begin to come back. It was also nice to see a nice jump in our scaled customers. That's a trend that we expect to continue as customers that we're bringing on now are substantially larger and much bigger financial opportunities than customers we were talking to two or three years ago. Chris, would you like to add to that?
Chris Greiner: No, it's well said.
David Steinberg: Thank you. Any follow-up?
Raimo Lenschow: No. Great, thank you guys.
Chris Greiner: Thank you, Frank.
David Steinberg: Thanks, Frank.
Operator: The next question is from Richard Baldry with ROTH Capital. Please go ahead.
Richard Baldry: Thanks. Can you talk about any of the challenges of trying to grow the sales capacity in this weird quarantine work-from-home world we have? It's a fairly specific set of skills you'd need. How do you onboard those, get people matched up to your culture and productive when you can't be in person for that early stage of growth?
Chris Greiner: Hi, Rich. It's Chris. I'll I think that and David can jump in after. We are first really, really happy with the pipeline of candidates that we have and the people that we've hired this year. We've seen better sales productivity than what we had modeled and I'll bring that to life through a different set of examples. First, we look at sales productivity through a number of different measures. What is the average pipeline size that each of our sellers are carrying, and we look at them through the three different cohorts of who's been with us less than 12 months, 12 to 24, and greater than 24 months. When we began to bifurcate the sales force between hunters and farmers and create an industry focus, that's when we drew a new line in the sand on the sales team for both our newest class of hires and those that are in the 12 to 24-month cohort. The number of opportunities that are in their pipeline today versus even six months ago is up 60% and 40% respectively. In the newest class, those hired since the beginning of the year, they have some incredible sales productivity set, almost half have already signed their first deal. Their pipelines are as high as their colleagues had been more tenured with them, both in dollar value and in count. And I think most impressively, while the Company's win rates have sustained at over 50%, our new hires win rates are also over 50% which you would naturally expect to be lower as they ramp. So I think for us sales productivity has been a real highlight and we're really happy with the progress we're making in absolute hiring. David?
David Steinberg: Yes, I think it's important to note too that, listen, onboarding a team remotely is always more of a cultural challenge than onboarding people when you can have lunch with them every day. But I think what we're seeing is not only is our HR team doing an exceptional job of creating events, we have started getting together. So because we have so many people in New York and San Francisco, Nashville, Boston, London, Paris and Hyderabad, we're able to really get people together, even if it's outside - even if it's in a more spread out area. The other thing that I think has been maybe not - it's - we've learned this over the last few months and it's something that I didn't think of when we first did. When Steve and Chris re-architected the sales force into this hunters and farmers, one of the really interesting results was we could get a higher quality hunter. And we were able to put farmers, who are more comfortable working with existing clients, into a place where they were happier. They didn't have to go out and make sales calls, they were able to just grow existing clients. And it actually created incremental budget to go get higher-quality people. So the answer is, I think we are as happy as we can be with the ramping of the sales force. Obviously, we grew 39%, 20.3% of that was new logos. Right? So that's really I think a solid stat, 20 plus percent growth rate on new logos, not including the 18.6% growth on existing logos. So the farmers are doing their job and the hunters are really doing their job and we're very pleased with that. Hopefully that answers your question.
Richard Baldry: Yes, it does. Thanks. I'll take the rest offline.
Chris Greiner: Thanks, Rich.
David Steinberg: Thanks, Rich.
Operator: The next question is from Arjun Bhatia with William Blair. Please go ahead.
Arjun Bhatia: Perfect, thank you for taking my questions and congrats on a great first quarter as a public company, guys. My first one, the new customer contribution obviously seemed very healthy Q2. Can you maybe just give a little bit more color on where those customers are coming from? Where those prior Zeta customers that were maybe under that $100,000 threshold that you look at that have now graduated, are they net new to Zeta? And I would love to hear how you're thinking about that customer count for scaled customers progressing for the rest of the year.
Chris Greiner: Yes. Hi, Arjun. I'll take it first and David can give some color on some of the wins and how. First, you're right. We had really good success this quarter signing over 30 new logos to the Company. And you'll remember, a lot of how we go to market is we land with pilots and then we farm and extend and expand with them on the farmer sales motion. The way to think about the connection from our 30 plus new logos to the scaled customer count increase of 333 to 343 is about half of that increase of 10 scaled customers came from new logos and the balance came from customers that were signed earlier as pilots and went from non-scaled to scaled. Opportunities for, as David mentioned in prepared remarks, has been a terrific door opener for us and was a big source of the 30 plus new logos that we signed within the quarter. David?
David Steinberg: Yes, the other really exciting thing is I would say of the 30 new logos we signed, 30 of them can grow into scaled customers. It's not like a few years ago where we would sign a deal with the Company knowing that they would really not get to scale. Every one of these companies has the potential to start with a pilot and scale to a scaled customer, and that's really where we are targeting and it's one of the reasons that you're seeing the growth rate of the Company accelerate.
Chris Greiner: I think, Arjun, what stood out also to us in the period when you look at the scaled customers, and one of your questions is where we see it going. There was really good balance both on ARPU expansion. You'll note and you'll remember that during our pre-IPO launch, we have 100,000 to 1 million customers in that category and greater than 1 million customers. The ARPU for each grew sequentially and year-to-year and the count of scaled customers improved for each cohort year-to-year. So really good balance and production. We're not going to guide to where we see our scaled customers going, but I think you can hear the optimism from us on how we're landing and how we're expanding with the base.
David Steinberg: Yes, we obviously are feeling good about what's going on with Internet Explorer and other pilot and proof of concepts and we're seeing that scale and we expect that to continue. Does that answer your question?
Arjun Bhatia: Yes, that's very helpful. And another one, if I can. David, you mentioned, you hired our Crystal as your first CMO. Can you maybe just flush out the significance of that? What that means for building Zeta's brand? What the priorities there will be and maybe how you just get your name out there a little bit from a marketing perspective?
David Steinberg: Yes, listen, I think as a team you have to accept what you've done well and begin to look at what you have not done well. I think we have built some of the world's best software backed up with some of the world's best data backed up with one of the greatest management teams I've ever worked with and I've been doing this for 32 years. What we haven't done a really good job of is spreading the word. The fact that we won over 53% of the engagements we got invited to participate in in the second quarter alone, when remember, we are either competing with or displacing Salesforce, Oracle, Adobe, The Trade Desk and others in every single deal we go in. So our big issue is, or if you'd say issue is if you do the math. So we won 53%. We said we added 30 new logos. That would insinuate we had 60 really good shots at the back. How do we make that 120 really good shots at back? And Crystal who did this really successfully at the Trade Desk and prior to that was at American Express and BlackRock, she is really good at focusing on building a brand in the enterprise software space, which quite frankly we need to do better at. So you're going to see us heavily investing as a company into growth over the next few quarters. And our goal is to continue to accelerate growth and we feel like we're very, very well positioned to do that. Chris?
Chris Greiner: Perfect. Nope. Anything else, Arjun?
Arjun Bhatia: No, that was it. Thank you, guys, and congrats again.
David Steinberg: Thanks. Arjun, appreciate it.
Operator: Our next question is from Koji Ikeda with Bank of America. Please go ahead.
Koji Ikeda: Hi, David. Hi, Chris. Hi, thanks for taking my questions. Just a couple from me. I guess because real high-level here, the Google tracking, the cookie ban delayed out till 2023, I think that kicks that down the road for another year or so. What does that mean for Zeta? The value proposition and maybe how your customers and prospects are talking about that.
David Steinberg: Yes, first of all, great to hear your voice. It - we, as you well know, don't use third-party cookies. So what we're doing is we built a Zeta ID that can identify people over the Internet without the use of that third-party cookie. So what I would tell you is, I don't think it matters to us that they pushed it out or didn't push it out. We never really factored it in because quite frankly as I said repeatedly, I didn't think it was going to happen. But the - most of our customers are already thinking about a post-cookie world. We're already seeing that and quite frankly there is a lot of great companies out there that are trying to adapt to a post-cookie world we've already adapted to. So I think that when we go in, it's part of the narrative but it's not the main sales point. I think if you look at the Forrester reports that published on us that very clearly stated that if you use our software, you will get a 50% better return on investment than if you use our competitor's software. And to remind you, our competitors are Salesforce, Oracle, Adobe, The Trade Desk, we're - that's Forrester as a third-party independent company saying that. So in every win we have, we are generally displacing one of them and we are battling it out with others of them. And I think that our ability to have best-of-breed software where - when people ask me why do you win, it's the sum of the parts. It's the ability to take the software, plus the data, plus the activation orchestration and put it into one place. And less people are talking about cookies and more people are talking about return on investment. Now, I think that most of our clients are already focused on moving away from being in a third-party cookie identification world and that's going to continue to evolve. And it's even - you're seeing it in some of the results of companies that are focused on in app with the elimination of the IVFA, I think you're going to continue to see even without the sunsetting of third-party cookies, I think you're going to continue to see sites focus more and more on that opted in which is just bringing it more to people's attention.
Koji Ikeda: Got it. Thank you, David, for that. And maybe one follow up for Chris. I noticed in the commentary you said about 20% of the growth coming from new, 18% from existing. Is that 18% the right way to think about NRR for the quarter, and if it's not could you maybe provide what was the NRR for the quarter in the second quarter for scaled and for total?
Chris Greiner: Yes. You nailed it, Koji. NRR is as we work with the SEC in annual metric, however, certainly a great proxy for that in the period for total Zeta would be 118% in that scenario.
David Steinberg: So up from what was 100% and what we can tell you is our scaled customer net retention rate hit an all-time record.
Koji Ikeda: Got it. Thanks, guys, thanks for taking my questions.
Chris Greiner: Yes, thank you.
Operator: The next question is from Ryan MacDonald with Needham. Please go ahead.
Ryan MacDonald: Hi, thanks for taking my question and congrats on a great quarter. Wanted to dive deeper on the Dun & Bradstreet announcement and the partnership there. Obviously a really great opportunity in the near term with them being a major customer. But just curious what you're seeing so far in terms of resources allocated to try to go after that B2B and SMB opportunity? And what do you think you need to make or invest incrementally to really build out that motion as that relationship matures?
David Steinberg: That's a great question. What we've done is we've dedicated certain resources to be what I would call technical salespeople. So the way it functions is the Dun & Bradstreet sales team, which quite frankly is among the best in the world. You're talking over 900 full-time sales people, which have some of the deepest and most meaningful relationships with their large-scale enterprise clients are acting is a relationship manager for us. What I've seen in these types of partnerships is if you try to get the partner to sell your products, it becomes very convoluted. So what they're doing is we've built a joint pipeline with them. Their people are bringing our people in, quite frankly on the top 20 of their prospects, Steve Gerber and I paid those sales calls ourselves. So we really wanted to understand how the architecture of the sales motion would work there and we got together and we helped to write the sales motion there. So we're seeing an incredibly strong pipeline there. We do expect to add meaningful logos this year through that partnership, and quite frankly we're very excited at the prospect of working together with them. It's just such a great team and we love partnering with them.
Ryan MacDonald: Excellent. And then just a follow up maybe for Chris. Great to see the continued progress on the mix of direct versus indirect channel. Can you talk to an extent of what's continuing to drive maybe that faster than expected shift to the direct platform? And then is there a bit of a lagging effect as we think about the gross margin expansion opportunity? Obviously seeing a point this year. year-over-year now. But love to understand how that evolves as we look into 2022 as well. Thanks.
Chris Greiner: Yes, no totally we're thrilled. It's, as you know, it's a major focus of the Company. So going from 68% ending last year to 74% in the first to 77% here now in the second quarter. What's driving is very, very strong channel adoption on owned and operated ZMP channels. So you heard in the prepared remarks, all of our major channels grew greater than 25%, think about messaging, display video, site optimization, CTV growing 500% effectively, 499% year-to-year. We're seeing great adoption of our owned and operated channels. We saw some mix. That was more noise than anything within the channels direct from the ZMP from a percentage cost of revenue, but wouldn't draw a trend line off of it. We still feel very confident for the year we'll be at least 75% mix on the ZMP and at least 100 basis points of percentage cost of revenue reduction year-over-year. David?
David Steinberg: There is also a lag when you're putting new customers into that platform. As you onboard them, they're slightly higher cost of goods sold. So once again, I think we feel very comfortable with a 100% - I'm sorry, 100 basis point plus growth rate. Let me say this again, 100% low - a 100 basis point lowering of our cost of goods sold per year at a minimum.
Chris Greiner: This is where we give David the words and I get --
David Steinberg: Sorry, I screwed that up. I was going to say 100 basis points, but I remembered I can't say that incremental margin, I have to say lowering of cost of goods.
Chris Greiner: You are totally right.
David Steinberg: Sorry. Any follow up or…
Ryan MacDonald: 100 basis points. Understood. Thanks again for the questions and congrats.
David Steinberg: Thank you.
Operator: Our next question is from Stan Zlotsky with Morgan Stanley. Please go ahead. Mr. Zlotsky, your line is open.
Stan Zlotsky: Good afternoon, guys, and thank you so much for taking my question. From my end, just very quick question. Chris, could you help us with - the performance in the quarter, obviously very strong results. How much of that came from the recurring part of the business, the 45% that's recurring versus the 55% that's reoccurring? How much was there - obviously, we saw the strong prints from the Twitters and the Snapchats of the world. How much did this snap back in the reoccurring transactional component help the quarter and how did that drive the big increase in your - the full-year outlook for revenue?
Chris Greiner: Yes, thanks, Stan, good to hear from you as well. We saw very nice improvement in the amount of contribution from recurring versus what you would have seen maybe six months ago when we're doing the pre-IPO ramp versus reoccurring. So David mentioned that 85% visibility, but more of that being driven from the recurring streams, again more multi-year contracts being signed in the period than prior.
David Steinberg: Yes, it was among the biggest step-ups, Stan, we've ever seen in our recurring business in a quarter. And quite frankly, that's really where we're pushing and we think that we can continue to grow that.
Chris Greiner: Yes. And in terms of the second half of the year, if you - we did the analysis to look at the blended 31% growth in the first half of the year. How much of that was driven by more favorable COVID industry comparison? When we did that normalization, it lands the first-half growth right around mid '20s. When we look at our second half and you normalize for the presidential cycle, call that mid-teens to high-teens growth, and that's just us wanting to be very prudent with our outlook given the macroeconomic environment and wanting to continue to stay conservative but keep our eye on - focused on strong execution.
Stan Zlotsky: Got it. Perfect, thank you so much.
Chris Greiner: Thanks, Stan.
David Steinberg: Thanks, Stan.
Operator: The next question is from DJ Hynes with Canaccord. Please go ahead.
DJ Hynes: Hi guys, nice start here. David, I wanted to ask about Data Conductor. It sounds really interesting and it was a great example you shared in the prepared remarks. Can you just talk about how this compares to the way you used to stand up customer instances and is it something that you're incrementally monetizing or is it about on a competitive differentiation in terms of how fast you can get a new customer into market?
David Steinberg: That's a great question. I think that the second part actually does drive the first part. So when you can more rapidly onboard a customer at a more accurate rate with using a low-code solution, you can actually move to revenue generation faster. So what we've seen - and I think the best example was one of our largest clients needed a CDP to bring into one place multiple data sources. And that might have been point-of-sale data, CRM data, back office data, finance data and data from their call center. Our CDP using the low-code methodology, we would not have won the deal if we couldn't have committed to move them over within the eight-week period that they decided that they if didn't get it done in that period, it was too late this year to do it in their cycle. So we were able to do that in one week, which I think really blew them away and that client is scaling very, very rapidly. I believe that client will be one of our largest clients going into next year. When we put that type of a solution in place, our ability to monetize comes from our ability to have superior software and move faster than our competitors can move.
DJ Hynes: Yes. Perfect. Makes a ton of sense. And then, Chris, maybe a follow up for you. One of the stats that you shared that surprised me a bit was the number of channels used per scaled customer. I think you said it was 1.5 out of 12. Obviously, that means there is still a tremendous expansion opportunity in the base. But I'm going to take the other side of that for a minute and ask, why have scaled customers to date been so slow to increase channels?
Chris Greiner: I think a lot of it, DJ, is that our division of the sales force to create focus. I think you see the best effect of that now, recognizing that we have an enormous amount of runway ahead of us, that's why we're so excited about ARPU being such a significant growth driver. But if you think about it, 2019, 1.2 channels per, it really wasn't until first third or so of 2020 when we really bifurcated the sales force and hardwired in being focused by industry vertical on our largest customers first and then going down the stack that that improved to 1.4 for all of 2020, already through the first half of the year up to 1.5. We have a lot of opportunities. It's an easier sale for us to sell more channels. You're typically working with the same buyer, that's the heavy focus of the Company. But again, just as big of an opportunity is on use cases. We have three use cases we sell to our customers. Every one of those use cases just like the total company was over 50% win rate in the quarter. So it's a significant opportunities for it grow there, 95% of our scaled customers are only using one use case today for Zeta.
David Steinberg: Yes, I think it's important to note that just to really explain it. Before we bifurcated the sales force, our sales people were paid substantially more money to go bring in new logos than grow existing logos. So not only were they really focused on that, it was how they made more money. By breaking the sales force into two, it allowed us to pay hunters more money and put farmers in a place where they were more comfortable and that's generally costs less. So you were able to do that, but now what we're doing, is we're paying the farmers to drive adoption of additional channels. The interesting thing is if you look at our net retention rate, which is pretty high, even on one channel most of our clients have scaled dramatically. We have one client we started on a $50,000 pilot and grew in five years to $20 million a year on one channel. Now that client has added a second and now a third channel just in the last two quarters. But the answer is, we are now focused on it. We do see this as a big opportunity, and it's something that I personally agree with you, we should have done a better job on it and now we're focused on it and we will.
DJ Hynes: Very helpful, thank you, guys.
David Steinberg: Thank you.
Chris Greiner: Thanks, DJ.
Operator: The next question is from Brian Schwartz with Oppenheimer. Please go ahead.
Brian Schwartz: Yes, hi, thanks for taking my question this afternoon. Chris, I just wanted to follow up on the net retention rate and the trend moving forward clearly was a big highlight here in the quarter. Can you share with us maybe what are the puts and takes that we should be thinking about for the net retention rate here over the next couple of quarters? And then maybe to ask it a little bit differently or if you're willing to share it with us what the net retention rate was for those large scaled customers, the customers that are aggressive adopters of your technology so we can see what the potential in that retention rate could look like over a longer period of time. Thanks.
Chris Greiner: Hi, Brian. Good to talk to you. You're only last because we're going to talk to your first tomorrow. So I just want to be clear. I think the best way to think about how we can sustain this level of very strong total Zeta net revenue retention, which is obviously driven by scaled customers, but even the non-scaled getting better, is through the lens of if you think about - it's in the supplemental deck, a scaled customer for Zeta that initially gets onto their platform into the first year is generating around $290,000 per. And we've been successful the longer we keep a scaled customer, the larger they become. If you going to zoom out to year three, that same scaled customer on average goes from $290,000 in their first year to over $1.6 million in their third year and beyond. So for us the secret sauce is, as David mentioned, focus on the farmers. Making sure there's a very effective hand off from when the pilot occurs onboard them faster, speed in the easy button. The Data Conductor does that for us that helps. And then sell the channels, present a measurable ROI. We're hearing from our sales team why we're winning is we drive a substantially lower total cost of ownership, because everything is in a single platform. From the data to the software to the orchestration capabilities, and that's something that our competition that we are displacing and beating can't offer.
David Steinberg: And to be quite frank, we've got 85% visibility into our revenue today, with now more than half of that being recurring versus reoccurring. And what we're seeing in the growth of the net retention rate is just even greater visibility into revenue. Our goal is to get up above 90%. And as we look at the growth of the recurring versus reoccurring, that just makes our job easier to continue to drive growth rates that we've been driving and want to continue to drive.
Chris Greiner: And then from a not projecting or forecasting net revenue retention, Brian, but want to be responsive to your question. I think a good model for us to think about is about half of our growth continuing to come from new customers and the other half from existing, and you of back into that what we'd expect given our guidance excluding presidential cycle.
David Steinberg: Yes. And I think it's important to note that when we add new customers, we're now adding new customers that can really scale. If we don't think a client can really scale, we're generally not going after them. So that new customer ad should lead to big growth in net retention rates. Does that answer your question?
Brian Schwartz: It does. If I could quick one - it does. But, Chris, if I can just squeak one more in here since it's the first quarter here that you're reporting. I just wanted to ask you if you spent, if you invested in everything that you'd wanted to during the quarter. The reason I ask is because that the EBITDA upside was so strong in the quarter. And if you did spend everything that you could, is this the way that maybe we should be thinking about your model when you have upside in the quarter here that it's pretty much going to flow to the bottom line? Thanks.
David Steinberg: I would tell you we spent everything we possibly could in a COVID environment. So if we could have invested more into T&E, getting in front of people and more events, I think we would have done that. But outside of that, I think we really are making - we had a senior leadership meeting in person I guess about a month ago, when we were able to get 40 of our senior leaders in one place and we had another 30 or 40 on Zoom who just couldn't enter the country you or others, and the homework was how do we invest even more for growth? And we got some great ideas and we'll look at them and we'll focus on them. But the truth of the matter is that we're investing for growth and we've been able to deliver sizable profit gains as a part of that, but we are focused on revenue growth. And where we can invest, we will continue to invest. And I think quite frankly that's one of the reasons you see revenue growth growing faster than EBITDA growth in projections because we want to make sure we leave the room that we need to invest as much as we have to. Don't get me wrong, we're still growing EBITDA and that’s really, we expect to grow EBITDA by 40% plus this year in the projections that Chris put out. But at the end of the day, we think we can grow EBITDA by that 40% and still make the investments we need to make.
Brian Schwartz: That's great.
David Steinberg: What I'll do now just - thank you, Brian. Appreciate it. So listen, just to finish. I think it's important to think about that when do you think about Zeta, we've got one of the world's best teams, we are really thinking long term and over 85% of our revenue is either recurring or reoccurring. I want to say today that our five-year strategy is to be the largest marketing cloud in the world and we absolutely positively believe we can be that. We have the software, the data and the activation orchestration capabilities to do that and we appreciate all of you joining us on this journey as we evolve to who we want to evolve to be as a company. Thank you very much.
Chris Greiner: Thank you, everyone.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.